Operator: Good morning, everyone. Welcome to the Solo Brands Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I will now turn the call to Mark Anderson, Senior Director, Treasury and Investor Relations. Please go ahead.
Mark Anderson: Thank you, and good morning, everyone. We appreciate you joining us for the Solo Brands conference call to review the third quarter 2025 results. Joining me on the call today are the company's President and Chief Executive Officer, John Larson; and Chief Financial Officer, Laura Coffey. This call is being webcast and can be accessed through the Investors portion of our website at investors.solobrands.com. Today's conference call will be recorded. Please be advised that any time-sensitive information may no longer be accurate as of any replay or transcript reading date. I would also like to remind you that the statements in today's discussion that are not historical facts, including statements about expectations, future events, financial performance, liquidity, turnaround efforts, strategic transformation goals and future growth are forward-looking statements and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements by their nature are uncertain and outside the company's control. Actual results may differ materially from those expressed or implied. Please refer to today's earnings press release for our disclosures on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission. Solo Brands assumes no obligation to publicly update or revise any forward-looking statements. Management will refer to non-GAAP measures, and reconciliations to the nearest GAAP measures are included at the end of our earnings release. Finally, the earnings release has been furnished to the SEC on Form 8-K. Now I'd like to turn the call over to the company's CEO, John Larson.
John Larson: Thank you, Mark, and good morning all. Thank you for your interest in Solo Brands. Today, Laura and I will discuss third quarter results and share our progress on strategic initiatives, then open the call to analyst questions. The third quarter sales environment was challenging, reflecting continued pressure on consumer demand while we work through excess retailer inventory and rebuilding our retail relationships, primarily in the Solo Stove division. That said, our approach remains measured and disciplined. We maintained stable gross margins and generated $11 million of operating cash flow, our second consecutive quarter of positive cash generation, driven by stronger cost discipline and better working capital management. Net sales for Solo Brands were $53 million, down from $94 million last year with softness in both DTC and retail. At Solo Stove, while working through excess inventory at our retail partners, we deliberately aligned promotional activity and pricing integrity across channels to rebuild retail partnerships. We also faced the reality that uncertainty and temporary delisting earlier this year set us back on future planning with some retail partners. That's on us to repair, and we're doing exactly that by coordinating promotional calendars with partners rather than competing with them. Now we are beginning to deliver on our core initiative of launching innovative new products. At Chubbies, revenue declined 16% year-over-year, primarily due to the timing of retail replenishment after a very strong first half of 2025. DTC was essentially flat for the quarter, signaling stable consumer demand for Chubbies. We recognize we have work to do on the top line. Recent product launches are gaining momentum, but we are committed to further accelerating structural cost reductions beyond the reduction in SG&A of 35.4% year-over-year in Q3 to better align our operating model with today's baseline demand and to allow future gains in top line performance to flow directly to the bottom line. Let me step back and frame how we are running the business. We are focused on profitability first and building a cost structure to match current demand. We're simplifying the organization, taking permanent costs out and holding the line on marketing efficiency. SG&A declined 35.4% year-over-year in Q3. That discipline is not a onetime action. It's how we operate. Cash discipline is equally central. We ended the quarter with $16.3 million in cash and cash equivalents, no outstanding borrowings on our revolver and inventories down 21% year-over-year. Across Q2 and Q3 combined, we generated $22 million in operating cash flow. Liquidity is stable, and we're allocating capital with care. We are product-led, but we are not chasing volume for its own sake. Our launches must be differentiated and margin accretive, supported by pricing integrity and coordinated promotions with our partners. The recent launch of the all-new Summit 24 firepit in late September and the Propane Infinity Flame firepit in late October are showing positive signs in Q4. Finally, we're keeping it simple, fewer distractions, faster execution and a sharp focus on the customer, on partnerships, on launching products that matter with profitability and cash being our measure of success. Q3 was not where we want revenue, and I won't address that up, but we are addressing head on with a plan to win, which includes further accelerating our structural cost rightsizing. With that, I'll hand it to Laura for the financials.
Laura Coffey: Thank you, John, and good morning, everyone. As John mentioned, the third quarter was challenging but reflected progress in how we operate and manage the business. We are staying focused on what we can control, driving efficiency, protecting gross margins and generating cash as we continue to build a more stable, rightsized growth model while accelerating structural cost reductions. With that context, let me walk you through our third quarter results. Consolidated net sales were $53 million, down 43.7% from the prior year, largely reflecting softer retail sell in, primarily within Solo Stove as our partners continue to rebalance inventory levels. The Chubbies segment sales were $16.5 million, down 16%, mainly due to earlier timing of retail replenishment compared to last year, while DTC sales were essentially flat year-over-year. Within our Solo Stove segment, net sales were $30.8 million, down 48.1% from the prior year. The decline was driven primarily by retail partners continuing to manage through elevated on-hand inventory. While retail sell-in remained soft, sell-through trends were more stable. On the DTC side, performance reflected our deliberate shift to maintain minimum advertised pricing or MAP, and reduced promotional intensity. We believe that trade-off, while impacting near-term volume, supports the long-term brand health and profitability. For the third quarter, adjusted gross profit was $32.2 million, representing a 60.6% adjusted gross profit margin compared to 61.9% last year, down modestly, mainly due to inventory write-downs. We continue to manage costs carefully across our entire business. Selling, general and administrative expenses were $39.5 million in the quarter, down 35.4% year-over-year, driven by lower marketing spend, reduced employee-related costs and continued structural efficiencies. We also recorded a $1.9 million onetime restructuring contract termination and impairment charge in the quarter, primarily tied to a facility exit in Mexico. Net interest expense was $7.6 million compared to $3.7 million last year, reflecting both higher average debt balance and the higher average interest rate during the quarter. Our weighted average interest rate at September 30 was 8.38% on the term loan and 5.95% on the revolver, which had no borrowings outstanding at quarter end. For the quarter, GAAP net loss was $22.9 million and adjusted net loss for the quarter was $11.9 million. Adjusted EBITDA was a negative $5.1 million or negative 9.6% of net sales. Please refer to our earnings release for the reconciliation tables to the most comparable GAAP measure. Turning to cash flow. We generated $11 million of operating cash in the quarter, marking our second consecutive quarter of positive cash generation. This reflects disciplined working capital management and leaner operations. Inventories are down 21% year-over-year, and we've continued to align supply with demand, particularly within Solo Stove, where we are working closely with retail partners to support sell-through and prepare for the holiday season. We continue to monitor cash and inventories closely and are carefully managing all of our working capital. On the balance sheet, we ended the quarter with $16.3 million in cash and cash equivalents. Our debt structure included a $240 million term loan and a $90 million revolving credit facility that matured in 2028. During the quarter, we paid down the $10 million revolver balance and ended September with no outstanding borrowings on the revolver. As of September 30, we were in compliance with all financial covenants and have no significant debt repayments until 2028. This provides strength and flexibility as we execute the strategic transformation of the business. Regarding the steps we've taken with tariffs, earlier this year, we began transitioning to a more balanced diversified supply chain footprint, including Southeast Asia and other strategic regions, adding dual sourcing where appropriate, so we can quickly adapt as market conditions or tariffs shift. Our goal with these mitigation plans is to maintain a trusted supplier relationships that are flexible, scalable and resilient as we grow. We feel good about the progress we've made and remain proactive in strengthening our sourcing network to stay ahead of future changes. We are taking a disciplined approach to capital allocation. Our growth investments remain focused on new product innovation, typically in the range of $2 million to $3 million annually within our means and aligned with our return expectations. We are continuing to structurally rightsize the business to match today's demand environment, focusing on profitability, efficiency and cash generation. We believe this ongoing execution of our profit-focused model should position us to drive long-term shareholder value. This concludes my prepared remarks. John?
John Larson: Thanks, Laura. I want to reiterate, we are not satisfied with our revenue performance in Q3. It was a challenging quarter and the top line pressure reinforces why we are taking action to align our operating model with current demand. Those actions are already delivering meaningful savings, and we will continue to move with urgency. On Solo Stove retail, the uncertainty in delisting earlier this year clearly set us back with some partners. We are rebuilding confidence the right way, partnering with integrity and providing the coordinated framework to win together. Looking ahead to our all-important Q4 holiday season, we're encouraged by initial consumer response to the very recently launched Summit 24 and Infinity Flame firepits, which have improved our year-over-year sales trends in October. I invite those on the call to explore these new innovative products, including the Steelfire 30 Griddle as evidence of the quality and superior design of our new products. As we look to 2026, we're executing with purpose. We have taken difficult actions required to rebuild our relationships with our Solo Stove retail partners. We know this turnaround takes time, and we expect some continued volatility, but we've stabilized our foundation, proving cash generation even in a contraction and are now leaning into innovation and further operational discipline. The path forward is clear: continue simplifying the business, focus on profitable growth, protect liquidity, invest where the customer and the data points us. I'm confident we're building a structurally smaller, stronger, more focused company with durable brands and passionate communities behind them. That's how we'll create sustainable value for our shareholders. To close, we value our investor communications and outreach. We plan to participate in the IDEAS Conference in Dallas on November 19. Please reach out to our IR team if you'd like to speak with us or meet in person at the conference. With that, operator, I'd like to open the line for questions.
Operator: [Operator Instructions] The first question comes from Will Hamilton with Kestrel Merchant Partners.
William Hamilton: Congrats on the positive cash flow in a difficult environment. You've been obviously busy on the new product front. I was wondering if we could just expand a little bit more about what you're seeing there in terms of online at your websites, but then also where do you stand in terms of the rollout to retail and what you think will be accomplished over the next couple of months and quarters there?
John Larson: This is John Larson. Thanks for the question. Appreciate it very much. Yes, it's really soon. We launched the Summit 24 at the end of September, and we just launched the Infinity Flame October 24. But we're really excited about the initial response to it. I can tell you that we have increased orders from our partners in terms of building some more opportunity for sales here in the fourth quarter. What is really encouraging is we're bringing a lot of new customers into the category. More than 70% of the customers are new to us who are buying these products. And in particular, the Infinity Flame, the #1 state for sales is California right now. And given California generally has some fire bans, et cetera, as you know, wood burning isn't big there, but it's now the #1 state that we're selling in with Infinity Flame. As we look across the country, we're moving into other markets that we didn't participate in as heavily before. So we're very encouraged by the initial results. Nothing to announce in terms of the rollout plan with our partners. We have been reviewing with our partners our entire new lineup of products. And in '26, we have just an aggressive lineup coming out from the Solo Stove division, and we're talking about exactly what we'll do in terms of rolling out in the spring of '26. But very encouraged by the initial response to it and feel good about it heading into the fourth quarter as these are really key products for us. And as I said, the initial response has been very strong.
William Hamilton: And then just in terms of the destocking with the retailers, particularly, I guess, with Solo Stove, are you nearing completion of that, do you think? Will you be done maybe by the end of the holiday season?
John Larson: I think I heard most of your question here. What I'd say is it really has been a difficult transition here. Imagine our retailers were loaded with significant inventory. We did -- we were very promotional on the DTC side at the end of last year. So they came into '25 with a lot of inventory. And it was painful to reset our approach, and that was we weren't going to compete and undercut our retailers to regain confidence and promote together with them in a coordinated fashion moving forward. So what it did was it put real pressure on our DTC sales because we're no longer promoting deeply and selling. At the same time, they were working through excessive inventory, and we're working to regain their confidence. What I'd say is I think we really hit the trough in Q3. And their inventories are now in line with very normal level of inventories, and we believe we'll start seeing more normal cadence of reordering from our retailers and the conversations have been great recently. And I would say that working together for these 6 months, in October, we had a promotion that we coordinated with our retailers together, and it was very successful for both of us. And due to that success, it just shows how when we're working together, a rising tide lifts all boats. And so we feel very comfortable with the promotional cadence in the fourth quarter. We are aligned with all our key retail partners at the Solo Stove division, and we're excited about seeing where it takes us in Q4. Chubbies is -- this is related to Solo Stove. Chubbies, I think, has been a more mature relationship with the retailers and has had this alignment more in line for the entire year. But particularly with Solo Stove, we had to make these changes. It's been painful, but we're finally coming out the other end, and I think seeing some positive initial results.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Larson for any closing remarks.
John Larson: Thank you for continuing to follow our company, and we look forward to providing fourth quarter and full year results and updates on our strategic transformation in a couple of months. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.